Kurt Levens: Good morning and welcome to the REC Silicon Q1 2023 Results Presentation. My name is Kurt Levens, I'm the CEO of REC Silicon. And with me today is Jack Yun, who is the CFO of REC Silicon. If you've probably already seen, there's some brief things to go through on the slides. It will not be too -- I'll try not to drag it out too long. I'm sure there might be questions afterwards. So, we'll get going. So, in the first quarter our revenues were $29.1 million. Our EBITDA was negative $23 million. This was a slight improvement from last quarter. Our cash balance is $49.1 million. Drawdowns mainly related to operating activities, loss as well as our ongoing investment opportunities, both in Moses Lake and Butte. Our gas sales increased slightly, but that was at the cost of some lower ASPs as we moved material into some lower end markets as a result of demand in the higher end market being soft as I've indicated before and that continues. So, there was some dilutive effects on our price. In terms of semiconductor polysilicon, we ended up selling less. We also produced less. The reason for selling less was primarily driven by the fact that in Q1 as I'll show you on later slides, it's traditionally a lower period for shipments. We have some seasonality effects. But there were also some pushouts that will allow us to recapture that revenue in subsequent quarters. Moses Lake construction actually started. So, we've been doing a lot of testing. We've been doing a lot of inspecting. We've been doing a lot of upgrading to facilities but this -- some of the equipment that we're putting in actually requires some physical groundbreaking structural steel footing. So, it's progressing along at this point. We still have the same ambition to be online in Q4 and there's nothing right now that views to us being off of that timeline. Market wise as I had indicated semiconductor markets still remains somewhat challenged. This is primarily because of the excessive inventory that's in the channels. Recently though there are some signs that things could be bottoming courtesy of information that's come to us from third-party economists who cover the sector as well as analysts as well as from the individual companies themselves such as Micron and Samsung and Intel based upon what actions they're taking. We're hoping that this is going to be maybe a stabilization period followed by increasing as we get towards the end of the year. And in anode materials we started to see real progress from silicon anode producers. By this I mean we've seen physically groundbreaking, dirt being moved around. So, things are starting to commence for that. We've also have discussions with others which are heavily into planning and engineering. So, I think that that opportunity is moving closer to actually being a reality for us. And then financing, we did have $110 million corporate bank loan that was finalized during the period. Well, that's interesting. That's actually not coming from my presentation just as you know. It's not a hook. So, in any case -- just so I'm not having to fight against the inspiring music, I'll take a breath here for a second. Thank you. Yes, it was like a game show because you're waiting for me to launch the next slide here. So, as I said in terms of our highlights I hit upon it a little bit, but revenues were down. That was mainly driven by our polysilicon sales volume, which is partially seasonal, partially related to the fact that we produced less due to some effects of electricity. And then on silicon gases while volumes were stronger again we traded off. So, some of our higher end materials where it's been slower due to the semiconductor industry we shipped less of. We shipped less of other materials that go into markets that we can more easily access in situations like this where there's market weakness. In terms of our EBITDA as we said the main issues around that were the fact that we did have some shipment deferrals, slightly lower ASPs on our gases, and higher electricity costs that then caused us to make sure we optimized our reactors in the beginning of the quarter the very beginning of the quarter. In Semiconductor Materials, some of this I've covered, but just to say again, if you look at it from the sales volume wise, this is a decrease, which is not unexpected for this particular part of the year. I'll show you on a separate slide. Sales price, there was quite a bit of increase in terms of our semiconductor grade polysilicon. That increase is a function of two things. One is the fact that we have increased prices due to -- to make-up for input costs to our customers and we'll have further price increases coming in the second half of the year. But then beyond that, the issue there is one of the fact that because we moved a certain amount, it's a mix effect between our lower qualities and our higher qualities. And then Butte had an EBITDA of $3.4 million, which again -- negative $3.4 million which again was an increase from last quarter. Cash flow, we covered that again, but the main thing here is the fact that it was impacted of course by our operational performance and as well as our start-up activities and then our CapEx efforts. Nominal debt was $183.8 million. Nominal net debt was $134.7 million. Silicon gases, if you look and see how that curve is, you can see where we hit the brakes last year in Q3. This is when the signals came down to us, through the value chain. Basically, what happened is that the TFT industry started turning down, that's where we first saw it. So there were shipment deferrals and cancellations, followed by the semiconductor industry, as we moved into Q4. And you can see that it dropped. There was kind of a step change from our run rate, down to a lower one. Q1 came up a little bit. And well, Q2 there's still uncertainties. I can say that we expect it to be on par with this quarter, potentially this past quarter, potentially see some increases as the situation stabilizes. And one of the things that we've done is utilize this relatively strong PV market to move our silane gases into during this time period, so that we can make sure to make up volume keep proper utilization on our plant. That in effect though has a dilutive effect on our overall ASP, because that particular product qualities do not command the premium that our high-end material does. So, the one thing I've kept harping on the fact that the semiconductor industry is down. That's our primary focus for operating assets right now. However, I want to say that, it hasn't changed where it's going. I mean the fundamentals for us are still there. There's still more silicon used in everyday uses, everyday devices, vehicles that's going to continue. The advanced technology nodes are going to use more of our material and some of our new materials parse unit of area. And again, most of the investments are in leading-edge advanced technology. So that is still there. Those expansions are happening. Silane-based silicon anode material producers are starting to move forward for their next phase of expansion. So where they're moving from very small bench scale, pilot-type operations to not full scale, full ambition production, but production that's significant enough that it's going to utilize a fair amount of silane. And we're using this time to finish up on our investments, high-value investments in terms of the ability to move our materials store our materials get them to the customers, as well as produce more material, particularly some of our higher-end gases. So we're not wasting the time as we move through this and we're looking for ways that we can continue to improve the financial performance in light of those challenges. On polysilicon, as we said you can see the seasonality effect. It is lower this year because from one sense demand itself is a little bit lower. However the other thing is we did turn down some of the production in the beginning and that was simply to avoid higher electricity costs that arose. So in avoiding that, we produced a little less material, but we have plans to try to make that up later on in the year during more favorable regimes and when we get our mitigating activities in place that we're working on right now for that. However, the price did increase but that was again due to mix. The activities towards the electricity issue that I've talked about are ongoing. And as I said before I think by end of Q3, we should have some firm solutions. So we're already working on things right now. And I think that some of those will go in place, but then they should be more visible to you in subsequent quarters, starting maybe Q4 and then into early next year. This includes everything from as I said another tranche of price increases to how we're procuring electricity to even looking at on a reactor-by-reactor basis what are we going to run or not run. In terms of solar materials, although we are not currently selling into this obviously this is our ambition with the Moses Lake restart. And right now the solar industry is rather robust particularly in China. The forecast itself is predicted to be above 300 gigawatts. What we are seeing though is that prices are coming down some not as fast as you would expect given some of the levels of overcapacity that one would expect if you try to butt it up with the announced expansion. So that's something we'll be tracking. But right now the price that is in effect in China is still well within the band that we would contemplate being a profitable band for companies to operate in. And then outside of China, the price for polysilicon from producers outside of China is still remaining very high. And it's very -- it has not come down to the same degree that the price in China has come down. But again that's from a higher point. And although the 16% looks somewhat significant, it still lands that material again well within the band that we would consider to be a profitable band to operate in. We'll just have to continue to monitor that. And, of course, as we have noted before in one sense this is important to us because obviously we're sensitive to the pricing in the market. However, the contract that we agreed to in terms of the MOU, as well as the contract will allow us to make sure that even if the China market does go all the way down, we will not be in a position where we're below what our operating costs are. So we can still remain profitable even at the bottom of the floor. Moses Lake as I said we are currently under construction, which is nice to see after a lot of planning and this continues a long schedule. We've ordered all primary equipment. Our hiring activities are in line. We're not having major challenges in terms of either bringing back talent that used to work for us or hiring new talent. We've been able to secure all of our key process inputs things like our metallurgical grade silicon, silicon tetrachloride. So we don't have any issues around visibility towards what costs are going to be in that sense for the start-up period as well as our access to them. And we're already working on next year. We have some very ambitious cost reduction targets on all of those materials. And 75% of our purchase commitments will be done by the end of this month. So if you look at the CapEx overrun risk itself, it is not -- it's what we consider to be within a manageable band given that what's left are things that are mainly commodities such as pipe, structural steel as well as just labor for installation. So all the major long lead time, all the things where we felt we could have a lot of exposure to fluctuations in a unstable input environment we were able to secure earlier. Foundational activities. So this is what we define as the main part of our activity here over the past six to nine months. Some of these we've come out with information on others. There's going to be more to follow. But this is where we're really focusing on. I think seen from my perspective, the best way for us to create value for our shareholders is going to be actually doing what we said we were going to do. It seems like there might be some levels of skepticism given our past experience around that, which I understand wholly. So what I want to do is make sure that we move towards a culture. Well, we are a culture of saying what we're going to do and then we do it. Hence, we tend to focus more like a little less talk and a lot more action. The idea here is we work through these things to put the building blocks in place and set it up so that we're able to move forward, create value, higher revenues, higher profit, real cash flow. I think that is what's going to create value for our shareholders versus me making pronouncements about things that may or may not be. And I'm just not wired that way and I don't think it's the best thing professionally for us to do for our shareholders. So on contracts we're continuing on our polysilicon silane offtake contract. We're getting very close. I think you're going to see -- on all these activities I would say over the next period before we get out of this year I think we will have all of these things resolved for sure. We have to.  Supply discussions are occurring with multiple silane-based silicon anode material producers. We have two fairly large multi-year distribution agreements we're discussing with large industrial gas companies. Our bond refinancing is complete. Further refinancing is underway right now in terms of finalizing the options and what we're going to do. And that could be potentially in more than one sort of transaction one sort of tranche so to speak. But we're continuing on that and we expect that we will have the money that we need in time for us to employ it. Operationally, the Moses Lake start-up is still on track as I've said. We're still working on the Butte energy mitigation. Our capacity expansion is ongoing in Butte and we will be finished with that and ready and qualified towards the end of this year and ready to go when the market turns up. On Yulin JV discussions are underway with how they -- around how they are going to potentially expand. As you know that and I've disclosed before they had indicated that they wanted to expand. However, there's several things that need to be overcome there primarily around financing as well as around final capacity. So that's ongoing. We expect that's going to be resolved here before the end of the year. Reshoring continues in the United States. I think this is something that even though there's a lot of discussion about you will not just let us spoon back up there. So the CHIPS Act, the IRA and the Infrastructure Act continue to be clarified and reinforced. They subsequently keep coming out with more information about how to participate what to do. We're having discussions. We have a third-party that we work with who is a government relations specialist and they also work with others in our industry to make sure that we're positioned well. So all of those activities that we've talked about both like on the CHIPS Act both the indirect meaning that we're going to be able to supply to these 18 fabs that get built, which could mean in excess of 500 metric tons of demand for us on our gases product on a yearly basis. There's also potentially direct benefit because part of this is they want to secure critical materials for the semiconductor market within the United States and that is still being defined. So that's potential later on. The customer production expansion continues. I said it was 10-plus semi fabs over the next few years 18-plus if we want to go out to say five years. So there's going to be quite a bit of expansion. There's going to be a need for our gases. There's going to be a need for those in a local fashion. And as we've stated when it comes to our particular gases particularly on a global presence obviously we're number one in a number of them. But in the United States not only are we number one, each and every one of them but we are also the only one in two of them. So if you look at silane we're the only producer. If you look at dichlorosilane we're the largest. There are two producers but we are the largest by far. And then in monochlorosilane we're the only producer. So these are materials that are going to be key for next-generation semiconductor devices. It's the same thing when you come to --when it comes to the PV and ingot and wafers we are the only one with appreciable capacity right now. And obviously that was part of the reason why our offtake agreement with Hanwha Q CELLS, Hanwha Solutions was something that was desirable to them and for us to be able to get the plant back up and running very desirable. There's also multiple silicon anode facilities that are on the way and actually being built. So when we look at the framework the framework is still there. As I've said we have the right assets. We're in the right place and the timing is correct right now. So this is really important for us to focus on these foundational activities and make sure that we put these things in place so that we can harvest on behalf of our shareholders and to move our company forward from being the company that is dreams and optionality to the company that executes and produces. That's all I have for you today. Thank you. 
Q - Gard Aarvik: Thank you Kurt. Gard from Pareto. I have a couple of questions. So first one on the financing plan. You're stating that, you obviously will have it ahead of capital requirement needs. But looking at the cash balance at the end of the quarter, and the cash drain suggests that you will need it sooner rather than later. So, what can you say both in terms of expected cash movements in Q2? And yeah, what we should think about timing there? 
Kurt Levens: Okay. Jack, do you want to cover that? 
Jack Yun: So we are -- that the BOD come from our total CapEx budget and then so we are working on the subsequent financing. So we think that we can get all of them done over Q2 and Q3 so that we can I mean support our all the CapEx requirement. So our financing plan include the loans mostly and also the prepayment from the offtake contracts.
Gard Aarvik: Okay. Thank you. That's helpful. And then on maybe a bit more of a market question moving or gazing a bit further into the future. So problem in the US on the solar side is of course connection to the grid. It's very high loads and a lot of congestions on the grid right now. And a lot of the business case here, and the thesis is of course looking at the higher growth for solar in the US. So how do you see that moving along? What has been done to resolve that? It will be great with some comments from you being much closer to the market than we are here in Norway?
Kurt Levens: Okay. Well, obviously it is still going to be challenging. It continues to be challenging. Although, we don't operate in that market it's very important for us in terms of what we want to do. I'm not sure what the concrete steps are to get it done outside of what the investments have been right now that are being made in terms of infrastructure in terms of workarounds to make sure that they can fit in renewables, with some of the bottlenecks in the current transmission systems. I know from our perspective this isn't to shoulder it to somebody else, but that's one of the reasons why we want to look for a high-quality offtake partner in one sense. By executing on this contract, we've shifted that risk from us to our offtake partner. If there's problems, with their demand within the US then we have a solid agreement and a partner who's going to honor their agreement. So, and also has a global reach so that, if they take our material they can use it elsewhere if because of the investment that's been made in the US or subsequent investments aren't able to sell as much into the US due to the fact that the US systems congested and/or not debottlenecked. 
Gard Aarvik: Okay. That makes good sense. And then one last one for me regarding the expansions in Butte, what volumes are we talking about, or is it just more of a shift towards higher quality higher products? 
Kurt Levens: Yeah. No it's volume related. So on our dichlorosilane product, we are tripling our current production capacity. So we're going from roughly 250 metric tons up to 750 metric tons, doesn't change the output of the plant. So it kind of doesn't change but it just means that certain part of it is going to be going to a higher-value molecule. And then with regards to the containers themselves that depends on each molecule. So that could be increasing our capacity. It's just dependent upon the molecule. So if you look at the one that, we're putting the most into in terms of modules for us to be able to move modules approximately 500 metric tons more capacity for us to move material off of our site on silane. And then varying from there on dichloro monochloro and others just varying type of capacities for them.
Gard Aarvik: Okay. Thank you.
Unidentified Company Representative : Okay. And quite a few questions from the web. First related to actually the market manipulation that was ongoing with the share. What are your thoughts on the kind of ruling from -- and that has actually been possible to do this? Are there any things you can do as a company to avoid that kind of market manipulation going forward?
Kurt Levens: Yes. Okay. That's an interesting question, for sure. I mean, in one sense there's nothing technically speaking that we can do it in some markets, our shares trade. However, certainly we can try to question, if at times we see things that are odd, but that's just more from a -- we're not the regulators. So I think in this particular case, this is really a matter between the regulators and this individual. It's not something that we condone. It is not something that we participate in any way. It's not something that we even think, should be done. I mean this is not really how the market should function in that sense, because it's not good for our share. We really want to make sure our business is geared towards long term a mix of long term as well as short-term, but more long-term investors who we are able to create value and for over these time periods, where we're making these investments. So, I don't know the particulars around that outside of, what's been publicly released. There's been no communication, with us and regulators. So it's not something that we're engaged in. However, I mean I hope that dissuades others from doing that. 
Unidentified Company Representative : Okay. And you also kind of indicated that the kind of lack of communication from the company, has kind of opened up for more speculations than necessary. Are you considering, to do any changes to your approach to how to communicate, with the market or actually addressing media coverage in particular as there has been also speculations in the media? So are you considering to restructuring, or do any changes to, how you approach the market with your communication strategies? 
Kurt Levens: Okay. That's, a fair question. I think as I stated when I started off, the primary tool of communication is for us to talk about what we actually did, or to talk about what we're actually going to do. I think that, if there hasn't been a lot of communication, I don't mean this to sound as negative as it may sound, but I am what I am in terms, but it may be because there wasn't enough to talk about. And that was our existence for a number of years. We held on. We survived. So, the fact was we were geared for growth. We had dreams. We had optionality. We had very support of shareholders along the way, but we had struggles due to the fact that we had the lockout from China and the trade war. So our focus was on trying to find a way to make it to the next quarter. And so, here we are now. And I think what I'm saying by these -- when I point out these foundational things is, we're going to have a lot of things to say because we're going to be doing a lot of things, in order to support our thesis around where we need to go as a company. If that means that we need to change our strategy around communication, I'm absolutely open to that because, I want to make sure that we are communicating as necessary, or as required to make the investing community understand, our particular story and why we're really positioned correctly at the right place, at the right time, with the right materials. So that could happen. But right now, I'm really focused and the team is really focused on, getting stuff done on digging in and delivering. I think, we've said a lot. And so, I think we have a lot to deliver on. 
Unidentified Company Representative : And with regards to that, could you give an update on status on Yulin, the IPO plans and expansion plans communicated from that company? 
Kurt Levens: Yes. And that's, what I said. I mean there's -- right now, they are interested in expanding. We are involved in discussions with them, around how that can happen. Obviously, we still have ownership in that. We also have a position on the Board, full voting rights. So, we are making sure that whatever happens there is going to happen in a way that's supportive, of where we want to go as a company. So those discussions are ongoing and we expect there to be some resolution as I said, by -- before the end of the year. As soon as possible, obviously but before the end of the year I think. 
Unidentified Company Representative : Okay. And with regards to Moses Lake, what should we expect in cash costs on Moses Lake when fully ramped up? 
Kurt Levens: Okay. This is one that I know that we used to talk about cash cost. I understand, there might be some consternation over the fact that we are no longer disclosing that. But I don't think it's in everyone's best interest. When I go out and I meet with our competitors, and they tell me they love to see what we disclose, because it's incredible us related to them in that sense. We feed them with a lot of information, that they don't feed in return. So, it's just -- I don't think that's going to help us with that for now. And when we get to that point, it's going to be something that we need to review every so often then we review it. But we're trying to act on what's best for our shareholders longer term. So, having said that, I will say that the contemplated -- or the contract that we are entering into is at a level that is above our cash cost, so that in all of the regimes of pricing that are considered within that contract we will be profitable. 
Unidentified Company Representative: And regards to that contract the offtake contracts will you at some stage disclose more details on pricing levels within that contract? 
Kurt Levens: No, we don't plan to disclose the pricing levels. We have given some guidance around what the computed EBITDA would be within a given range. I think if just -- if I were to look at the analysts that do cover us I would say a couple of them are pretty much spot on that. How is that for giving guidance? So, I mean the fact is we're not going to say it, but I think that if you do -- if you follow or get access to that coverage or if you put a pen to paper yourself, I think you can get there. 
Unidentified Company Representative: Do you think the offtake contracts could be an obstacle for REC Silicon to develop business within the anode silicon battery producers in the US?
Kurt Levens: No, I do not. And the reason is, is that we have two production assets. One in Moses Lake, we have 2,400 metric tons of material plus/minus that's going to be left over at full ramp from Moses Lake. So, we have that material in place. In addition to that we have the Butte facility. And right now we are not running full out at the Butte facility. You're looking at a facility that's utilized around 70% right now. So, we have more silane to make there. We have more silane that we could load within our current framework. We are investing in more material to move modules. So -- and some of the volumes that are coming up it will be easy to handle that via module volumes within our current capacity as well as our expanded capacity. So, I'm not worried about that. I mean we would have -- if you look at it from a mass balance perspective without even rationalizing on other materials meaning maybe we take out some lower at Butte. Maybe there's some materials there that are lower value and we decide to turn those down so that we can in fact sell more into these other ones. Even before that, we can move between both places between 4,500 metrics tons to 5,000 metric tons of silane, without making an investment really I mean in terms of major investment. There might be some debottlenecking in containers. And I think that fits well within the envelope of any of the currently contemplated activities. Should there be more then hey to me we are the world's largest silane producer outside of China. We are the oldest silane producer. We've built more plants than anyone else. If there needs to be more plants built, then we should be building plants. We have space in both of our facilities. We've been actively making plans for that. And looking into plants why we were looking at being able to expand our footprint so that we can grow within our infrastructure. So, I think that's just a matter of why it's so important for us to execute on what we have now, so that we can increase our cash flow, so that we can become a profitable entity, so that we can then be able to put that into these opportunities. 
Unidentified Company Representative: And in regards to kind of production quality following the reactor upgrades, are you fully confident that Moses Lake will deliver mono quality spec that meets current and future requirements?
Kurt Levens: Yes. But I will say in terms of future requirement, that is the future requirement as we understand it now. That's the only caveat I will say if I know nothing else about these requirements in those particular industries that we support change. And what we think the requirement is now and down the road we've contemplated that. We have a plan and a roadmap. However, we need to continue on that roadmap because there will be more things later on as qualities get driven down lower. That's just the nature of the technology and the nature of business. But we are certainly -- nothing that we are doing has not been done. If you look at it granular has been used in mono applications. Our competitor GCL has used it in mono. Originally, the largest producer of it was the old MEMC SunEdison. They used it in mono for semiconductor. We had some that went into mono that was kind of our top cutoff of our last plant. And most of the issues and challenges around it -- were not necessarily related to the intrinsic purity of it. It was more about some of the physical qualities that we've that's part of what the investments are that we're making to make sure we take care of that around things like entrained, surface powder or hydrogen inclusion things that then made it more difficult for companies to using their crucible. So there is -- and the things that we're using have either been proven in our pilot scale, at our JV or our industrial practices that are in use now in other industries and easily applicable to us.
Unidentified Company Representative: And finally, some questions about funding. Well, could Hanwha Solutions potentially fund more than the working capital related to the reactivation of Moses Lake via prepayments? And secondly, given the capital requirements to ensure that the Moses Lake starts up are you considering going public for instance in the US with the listing there so to kind of broaden your access to capital? 
Kurt Levens: Well, I think Jack can answer the first part of it, but I'll start by answering the second part of it. Right now we have -- we do not have any contemplated activities towards going public in the US. And then the first part of the question was for Jack was... 
Unidentified Company Representative: Whether Hanwha Solutions potentially could fund more of the working capital related to the reactivation via prepayments? 
Jack Yun: So as I mentioned, so we -- I mean talking on the subsequent financing and then so I mean the debt financing together with the prepayment from the Hanwha is going to be sufficient enough to cover our all the capital requirement at this time. Did I addressed your question? Yes. 
Unidentified Company Representative: Okay. I think that covers most of the topics addressed. So that would be it. 
Unidentified Analyst: [indiscernible] 
Kurt Levens: Lot of time planning. We have the pieces we're putting in place and we're going to execute. I mean that's all I am focused on. So for me we need to get the plant up and running. We need to come through this soft spot in the semiconductor market and we need to solve the issues around the electricity which we're well on the way to do. And as I said we can be communicating that later. So I think that that is going to be maybe more of a determination for our investors as to when it's time to open up the champagne bottles. But I can tell you that we won't be doing so early because we're going to keep our heads down and plow forward until we look up and it looks better. 
Unidentified Company Representative: Yeah. I got an additional question on production capacities. What will be the polysilicon production capacity at Moses Lake when operations reach 100% in Q4 2024? 
Kurt Levens: Yes. 16,000 metric tons per year. 
Unidentified Company Representative: And some general questions on your new neighbors on the battery and anode producers. What kind of -- we see lots of news coming out in the media from these different players. And they kind of more than indicate REC as a close potential partner and we don't hear anything from REC. Can you give some flavor to ongoing discussions and what kind of parties you are involved with? 
Kurt Levens: Well, I think I will say this that we are involved with all of the major producers of silicon nanomaterial via silane mode. That's across the world. We've had discussions with all of them. We have ongoing discussions with all of them. Obviously, these are things that are ongoing. It may be in their interest to say that they're talking with us because maybe they're all trying to fight for that position or it's good for their needs. But it seems like to me, it's not necessarily as good for us to talk about where we're at with all of them. I think we are having discussions. We are trying to finalize what our market strategy is going to be there in terms of our market channel that was part of this intent around the MOU with Hanwha Corp. on silicon anodes. So there's going to be a multiple kind of approach to this, how we're going to do it in a way that gives us access to security, gives us access to a reliable offtake partners. And make sure that whatever we do we've covered our downside with these companies. So I think that for sure, things are happening. I mean, I can -- I drive by it every morning and I look at it. So I can't deny that. And we also know, because we've been getting other inbound inquiries from companies that are moving forward that have enough funding to build certain capacities. So that's ongoing. I think we're going to see some of that resolved here before the end of the year. I think there'll be some communication in some way around at least some of those opportunities.
Unidentified Analyst: [indiscernible]
Unidentified Company Representative: I take the first one anyway. Well, with the kind of battery producers, kind of locating close to REC Silicon and presumably without any close discussions with you upfront it kind of seems obvious that that will be the natural choice for them to kind of integrate closer with REC, as a producer of Silane gas. So more of a question how involved have you been in these early discussions when these companies kind of tend to move to Moses Lake several of them?
Kurt Levens: Well, I would just say this that, we were involved in early discussions just from a discovery standpoint in terms of when these discussions started. Keep in mind that, we had not -- they've been going on for a while. So we had not yet identified a polysilicon route to opening up the plant. So we were trying to find ways that we could reopen utilizing our capacity. And so that's when these conversations started. In some cases, I think that there was other drivers beyond Silane access, for these guys between the state of Washington, local incentives for some where they're located anyways it made more sense for them to locate somewhere in Washington. So yes, I think access to Silane and Silane competence obviously is important. But I think there was other factors as well that drove their decision. The government of Washington who I met with on several occasions to discuss this along with the CEOs and other executive teams of these anode producers has been very bullish in terms of his vision for how Washington is going to embrace these producers and his view of what the Moses Lake area is going to become in the electric vehicle sort of space and how this fits into it. So there are other things besides just the Silane. And yes, we had discussions with them in the beginning, but there was no, indications or promises or anything other than the fact that we had a large amount of Silane there.
Kurt Levens: Okay. Thank you all for coming. And we'll see you next time. And I can tell you that there will be communication between now and then. We have some things that will be -- we should have in place that we'll be coming out to talk about. Thank you.